Operator: Greetings and welcome to the Where Food Comes From Third Quarter 2014 Earnings Conference Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Jay Pfeiffer, Investor Relations. Thank you sir, you may begin.
Jay Pfeiffer: Good morning and welcome to the Where Food Comes From 2014 third quarter conference call. During the course of this call we will be making forward-looking statements based on current expectations, estimates and projections that are subject to risk. Specifically, our statements about future revenue, expenses, profitability, cash, growth strategy, new customer wins, new product and services, market acceptance of products and services and potential acquisitions are forward-looking statements. Listeners should not place undue reliance on these statements, as there are many factors that could cause actual results to differ materially from our forward-looking statements. We encourage you to review our publicly filed documents as well as our news releases at website for more information about the Company. At present it the Company’s policy not to provide specific guidance with respect to future revenue and earnings expectations or new customer wins. With that, I’ll turn the call over to John Saunders, Chairman and Chief Executive Officer.
John Saunders: Thanks, Jay. Good morning and thanks for joining us today. This morning we announced very solid financial results and I’d like to recap a few of the highlights. For the third quarter on a year-over-year basis, total revenue increased 69% to 2.5 million from 1.5 million. Verification services revenue increased 73% to 2 million from 1.2 million. This increase included both organic and acquisitive growth. So in addition to solid performances by our IMI Global and ICS verification businesses, the year-over-year Q3 comparisons were heavily impacted by new revenue streams resulting from last September’s acquisition of Validus auditing business. Product revenue comprised of cattle identification ear tags increased 57% to $414,000 from $263,000. This was largely organic growth from two areas: one, we have recently taken over tag sales at one of our key legacy customers, Superior Livestock Options; and two, an increase in dairy cash tag sales resulting from that segment of the beef production world being the first to begin complying with the USDA's mandatory animal disease traceability program known as ADT. And finally, Where Food Comes From labeling program revenue increased to $25,600, up 2% year-over-year. Gross profit in Q3 grew 65% in real dollars. The gross margin declined a couple of points year-over-year due to the impact of the Validus acquisition on our overall margins. Remember, Validus generally employs full time auditors versus our traditional waiting towards part time auditors. This played a bigger than usual role in margins the last couple of quarters because, as you recall, Validus revenue has been impacted this year by a sharp reduction in pork audits resulting from the Porcine Epidemic Diarrhea Virus or PEDV. We are pleased to report that selling, general and administrative expenses grew by just 8% to 775,000 from 716,000 year-over-year. SG&A expense as a percent of revenue in the third quarter improved to 31% from 49% year-over-year. This is what we often refer to as our highly scalable business model whereby a relatively fixed infrastructure can support much larger revenue streams without growing in kind. Operating income in the third quarter increased to about 404,000 from an operating loss of $1,000 in the same quarter last year. And that income attributable to Where Food Comes From, Inc. increased to 245,000 or $0.01 per share compared with a net loss of nearly 19,000 or less than $0.01 per share in the same quarter a year ago. Turning to year-over-year and nine-month results. Revenue increased 53% to 5.7 million from 3.7 million. Verification revenue increased 56% to 4.8 million from 3.1 million. Hardware revenue increased 44% to 786,000 from 544,000. Where Food Comes From labeling revenue increased 15% to $107,000 from $93,000. Gross profit increased 37% to 2.6 million from 1.9 million, gross margins dropped to 46% from 51% year-over-year due to the same circumstances I just described with our Q3 results. SG&A expense increased 26% to 2.4 million from 1.9 million last year, but improved to 42% of revenue from 51% of revenue. Operating income increased to 217,000 from 2,000. Net income attributable to Where Food Comes From rose to $164,900 or $0.01 per share versus a net loss of $22,200 or less than $0.01 per share. The Company generated $521,000 in cash from operations through the first nine months of 2014 and up from $317,900 in the same period last year. On the balance sheet, cash equivalents and our restricted cash increased to 2.9 million at September 30, 2014 from 1.1 million at 2013 year end primarily as a result of an equity capital infusion during the second quarter of 2014. Working capital increased to 3.3 million from 1.5 million over the same period. Switching gears now, we recently announced further market share gains through the acquisition of Sterling Solutions, a leader in beef verification programs in the west, particularly in California and the Pacific Northwest, providing services such as Source and Age, Non-Hormone Treated Cattle program for the EU, Animal Welfare, HQB and Never Ever 3. Among the dozens of new customers we’ll bring on board through this transaction are large dairies, calf ranches, feed yards and cattle ranches. In addition to bringing on new customers and a new subsidiary with a highly respected name in the industry, this transaction further extends our geographic footprint. And that leads me to my next point. I field a lot of questions from investors like what is it going to take for Where Food Comes From to go to the next level? Or what is our breakout strategy? And our strategy is really a very simple one and it includes four basis components: one, to grow our business organically and through acquisitions, we continue to do that; two, to offer more verification solutions than anyone else and today we offer more than 30 and counting and probably 20 to 25 more than any of our competitors; three, to cover more commodities than anyone else and we’re easily the leader here now; and four, to offer more value in the way we deliver our services through bundling of services that our competitors cannot hope to replicate. If we continue to execute in these four areas, we believe we’ll extend our leadership position exponentially and strengthen our ability to take advantage of opportunities that we create and opportunities that quite frankly continue to comes to us. This is not so much a build-it-and-they-will-come strategy as it is a build-it-because-they-are-coming. Here are a couple of examples of what I mean by that. The USDA's mandated animal disease traceability program or ADT a couple of years ago just didn’t exist. Today, it’s reality. Over the next four or five years ADT will continue to force upwards of 800,000 cattle producers into mandatory source verification. Prior to ADT only those ranchers who wanted to export their beef had the opportunity or were required to maintain source verification. ADT is beginning to change that. The relevant statistic is this that today we claim approximately 10,000 cattle producers are our customers out of roughly 800,000 and that’s a little bit over 1% of the market. All of those 790,000 producers that are out in existence today are going to continue to need this type of service. In terms of the phase in, as I mentioned earlier, we’re beginning to see increased source audits from dairy calf ranches which are among the first of the cattle producers forced to source verify due to the fact that male calves born at dairies are highly likely to travel across state lines. In summary, ADT represents an excellent growth business all by itself. But there are other catalysts emerging as well. We told you on our last conference call about the emerging gluten free and non GMO opportunities among many others. With non-GMO for example we told you that we had 19 customer prospects and there are other customers who are approaching us. Three months later that number has grown from 19 to 55 new customer prospects, the vast majority of which we expect to close. We’ve already approved four of them for audits covering 85 product labels and this is just the beginning. This is the new reality of the food business and by all accounts, it is a trend that is here to stay and will only get bigger. Tomorrow tens of millions of Americans in roughly 30 U.S. states will have an opportunity to vote on some kind of a GMO ballot initiative. Whole Foods, the de facto leader in the retail health food movement, has committed to mandatory GMO labeling by 2018. Here’s another important consideration. Until recently this trend for traceability and transparency has been driven primarily by choosy shoppers who are concerned about the origins and characteristics of the food they served themselves and their families. Today these choosy shoppers are joined by multinational corporations from fast food restaurants to retail food chains who, because their bottom lines are being directly impacted, are now beginning to take a hard look at food transparency measures. To summarize, we think ADT along with ever growing consumer influence around things like natural, organic, non-GMO and gluten free will continue to be very effective catalysts for growth for Where Food Comes From. But the entry of national and multinational food companies into the equation has the potential to take this to a whole new level. We believe we’re ideally positioned to take advantage of this as it occurs. With that, I’ll open the call to questions. Operator?
Operator: Thank you. (Operator Instructions) Our first question comes from the line of Ian Cassel with MicroCapClub. Please proceed with your question.
Ian Cassel - MicroCapClub: My question relates to one of the comments you said later on in the call in your prepared remarks. I mean that’s about the GMO ballot initiatives that are coming up here shortly. And I think you mentioned 30 states, I know Colorado and Oregon seem to be the hot ones here, your home state there. Can you maybe talk a little bit more about how the GMO ballot initiatives might impact your business?
John Saunders: It’s been interesting how many questions we’ve gotten from I think investors and shareholders, but also just from family and friends. And Leann Saunders, the President of the Company, is sitting here and she’s been working pretty specifically in this area. So I am going to let her answer that question, Ian.
Leann Saunders: I think as we look at the different ballot initiatives, as you said, they’re all tied to the transparency of labeling. So for our business, that’s a good trend. There is a lot of complexity tied to that. We’re currently an approved technical administrator, IMI Global is, for the non-GMO project certification program and we’re also through ICS have organic certification which are both of those particular programs from a voluntary perspective are non-GMO labeling in nature. So we’re already participating in that movement with those two voluntary programs. When you look at the regulatory complexity tied to some of the ballot initiatives, it’s really going to depend on how those things fall out. Some of the struggles with that across the country are obviously you have retailer s like a Whole Foods and some of these retailers that are really committed to providing the transparency that are challenged because you have different regulations in different states which makes it very complex for them to comply. So, we’re trying to, as we’re advising different groups, just to try to figure out how this all works. But today we’re working very diligently on the voluntary side and let’s just say for our business specifically that transparency and labeling is a positive trend.
Operator: Our next question comes from the line of Marc Robins with Catalyst Research. Please proceed with your question.
Marc Robins - Catalyst Research: I guess my question is really kind of more fundamental and I apologize for the simplicity of it. But in the last statement you said the national and international food companies, I didn’t hear the whole thing and I’d like a little better explanation of what you’re implying. It’s a very simple question, John.
John Saunders: Well, specifically I think probably two companies that you can or two situations you can look at, one is Tesco and the horse meat situation and the resulting financial difficulties that they’ve experienced and then the second is McDonald's and the situation that occurred in China which have resulted in 7.3% decline -- this is McDonald's numbers, these aren't our numbers. Their share price dropped – the company had a $0.20 per share drop in earnings per share and this was a result of the 7.3% decline in sales in McDonald's Asia, Middle East and Africa unit. So those are just two big ones. But I think what we’re seeing, whether it pertains to the export of non-hormone treated beef to the EU which also involves a number of international politics between different exporting nations that are trying to access that premium market, but you’re still restricted on the technology that you can use to what we’re seeing with China and the restrictions around the use of Ractopamine for pork that's produced in the United States. And all of the companies that we work with and a lot of them are the multinational companies including McDonald's and Wal-Mart are facing these issues today. So that’s essentially it.
Marc Robins - Catalyst Research: Let me ask this question. Are you beginning -- and maybe it’s inappropriate -- are you beginning to see interest from foreign producers who are facing these same kind of, I'm not going to say roadblocks, but requirements to export further into the Brazil is a huge exporter of beef I believe. Would they ever come to you for your verification capabilities?
John Saunders: We hope so. We really do. Again, I’ve mentioned in the past the risk I believe is associated with us conducting verification audits in other countries, the products that are going to be done either here in the United States or other places. So, we have so much oversight within our business, Marc, through the USDA and through other regulatory and standard setting bodies that I just haven't felt comfortable in our ability to do that. But we’ve had a lot of producers ask us in specifically Brazil to come down and to try to address that market, but we haven’t found the right way to do it yet or the right partner.
Operator: (Operator Instructions) Our next question comes from the line of Matt Karr with Symons Capital. Please proceed with your question.
Matt Karr - Symons Capital: Just a couple of quick ones from me on the organic business, I guess. Relative to last quarter you spoke last quarter about the resumption of pork audits happening slowly, but it was happening. Relative to last quarter, are we improving there or is it about the same and it should just take a little bit longer?
John Saunders: About the same. I think we have, due to a number of factors we've seen the audits that we’ve conducted stayed at a pretty strong level in the sense that we haven’t seen -- it hasn’t stopped. The other big factor there, Matt, is that once a facility becomes dirty in a sense that it's been exposed, it moves into another area or segment of those operations that don’t have the same concerns around introducing the virus into their facility. So I think I’ll just leave it and say it’s been -- it hasn’t resumed to where it was before, but it also hasn’t changed in a significant way.
Matt Karr - Symons Capital: And then are you guys able to I guess ballpark the organic growth rate for the business this quarter? Is that something we should kind of just wait till it tees out of the cue?
John Saunders: It’s very difficult for us to do that. One of the benefits of our strategy in working together is that we increase our knowledge base within the companies and we have a lot of interaction between the companies, but we also have -- because all the businesses are very similar business models, that’s why we only have one verification category for our revenue because so much of what we do is bundling and we work together to try to provide customers the best and most efficient service we possibly can, which means that we don’t get down to that level in understanding. And if I did, I’d just be guessing.
Matt Karr - Symons Capital: And then last question from me I guess. If you go back and look at the annual reports that you guys have filed for a really long time. The names of key competitors have been relatively the same for a long period of time. And as you guys have done acquisitions and taken out some of your arguably bigger competitors, the names on that list are generally dwindling. So you talk about having a lot broader of a business in terms of commodity coverage in the suite of verification products. But can you maybe just size the market for me a little bit in terms of how many companies are left in this business and maybe the names of some of those that are still credible threats to you guys?
John Saunders: The best way to answer that I think is that when we initially started that list, we were in a much smaller, if you will, pond that we were swimming and that was most specifically the beef verification market in the United States. So a number of those competitors and I would say there is probably others on the call that would say hey we’ve done a good job with our M&A strategy because that list has continued to dwindle. At the same time, our pond has grown and it's grown in unique ways. And part of the reason I am a little wishy washy here, Matt, is that within the organic market, that’s NOP in the United States, I believe there is about 50 different organic verification companies, but there is a very small number of them that represent a significant portion of that. As we moved into GMO labeling and verification and gluten free, we’ve kind of inherited new competitors. And while I think it’s -- we have a very good idea internally who that is, it’s a different set of companies and we’ll continue to I think provide more detail about who those companies are and what they do, but right now our continuous plan is to continue to grow and we’re going to do that organically and through M&A. So as we do that, we want to be pretty careful about how we talk about that and I’m not prepared to talk about any of those companies today primarily for that reason.
Operator: Our next question comes from the line of David Morgan, a private investor. Please proceed with your question.
David Morgan - Private Investor: I have a follow up on the beef side. Competitor-wise you almost do 80% to 90% of the market as far as verification and taken that practically, everyone is a viable competitor?
John Saunders: There is a few more, again, pretty regional, that have been around not quite as long as us, but there's just a few more. We have consolidated the majority of it.
David Morgan - Private Investor: Okay. And then as far as a national company coming to you to verify beef -- or do you have a footprint at this point where you can take that on a national company for beef verification or pork verification or do you have to still expand as far as the tagging and acquisitions?
John Saunders: We still have to continue to expand, I think, David. I think what this has done for us and specifically when you look at Sterling and Primera, they were both very heavily focused on the Holstein calf market and that’s important for a couple of reasons, one is because it’s a ratable supply, meaning you could potentially do something on a more consistent basis without have to necessarily pulling out from different states you can meet those requirements. That being said, we’re still working with -- I think it’s still daunting for the larger companies to look at and say how we’re going to be able to make this something that we can roll out across the country. So, we’re really focused on some new brands that our acquisitions have brought to us in the regional nature, but they'll allow us to continue to expand as we continue to promote Where Food Comes From to every region that we talk to.
David Morgan - Private Investor: And part of the mandating of the tags, the demand is coming from two areas, regulatory and also perhaps restaurants and grocery stores demanding it. What’s dominating the push-pull demand as far as trying to get the cattle tagged as quickly as possible?
John Saunders: Right now there is no questions it’s the regulatory and that’s because of what I mentioned. For cattle that are moving interstate, that aren’t destined to be processed immediately are the real ones that we're working with. And the Holstein market, calves that are born at dairies can potentially travel several times and across several states. And what I think is starting to undercurrent is that state based animal health officials are looking to the kind of identification that we provide through some of our verification solutions as an alternative for these producers that want to transport cattle across state lines and that’s really the biggest catalyst right now. What we’re doing on the private side, I think we continue to be still pretty unique in that area that we’re really one of the few entities that’s talking to retailers about a source verified traceable supply.
David Morgan - Private Investor: And as far as the regulatory mandate, you said over the next five years. How linear might that be? I mean are we going to see 20% this year? 10% out of the 100% that needs to still be done or how they're going to get tagged?
John Saunders: I don’t know if there is any real way to answer that. I think it’s going to depend on states and specific officials within those states and maybe other issues like other animal disease issues that they may have in that state or maybe the specific type of livestock. So it could go very, very small growth, and then all of a sudden there's an event or a situation that would immediately forestall the state officials to require this.
David Morgan - Private Investor: Like a Mad Cow or something like that that raises its head again?
John Saunders: It probably won’t be – it won't be Mad Cow. There's others that would be more infectious and would travel quicker that would be more dangerous. But yes, something like that.
David Morgan - Private Investor : And so far are you seeing it happening? I mean are they tagging because they have to for regulatory purposes or they’re just tagging because they just want to be able to sell their cow?
John Saunders: I have heard over the last couple months, David, I probably heard about half a dozen situations that range from cattle being trucked across Ohio destined for Pennsylvania that didn’t have the right identification. So very, very difficult, because there is not an entity or one -- you basically have to go to and talk to each one of the state vets at each state and ask them about what’s happened, which I've tried and I do as much as I possibly can, but it’s hard, you just hear stuff.
David Morgan - Private Investor: Well it’s pretty phenomenal. I mean you talk about the fact that you can go from 1% to 50% or even 80%, so it’s massive, but I happens. Something that you have this higher it would be very labor intensive, I guess, with the higher [indiscernible] auditors?
John Saunders: Not really. One of the things that we’ve talked about a lot is one, how we use technology to extend our auditors' capability, but one of the things that we really focus on a lot is keeping our headcount as low as possible and using them when we need to.
David Morgan - Private Investor: Then one last question. As far as Whole Foods, that's your biggest customer. As far as what you’re verifying there now, are you pretty much 100% of the beef and a good portion of all the other meats, chicken and pork there at this point?
John Saunders: Yes, we’re a majority of their beef verification and we look for opportunities everyday to work with Whole Foods and to do bundling and to work with their customers. And one of the primary drivers for us to get involved with the non-GMO initiative was to extend our capabilities with Whole Foods and to try to help them be able to offer efficient solutions for their suppliers.
David Morgan - Private Investor: Well I thought they were sort of one mandating verifier for all the meat products. So you’re saying that could come to pass or is that still what they're asking for?
John Saunders: I don’t know that they would ever mandate that they had one very verification solution. That wouldn’t be in their best interest. But it wouldn’t be in their best interest to just have one, but we continue to look for ways that we can do it.
Operator: (Operator Instructions) Mr. Saunders, it appears we have no further questions at this time. I would now like to turn the floor back over to you for closing comments.
John Saunders: Great. Thanks, everyone. Have a great day.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.